Operator: Good afternoon, good morning, and welcome to the Central Puerto Conference Call following the results for the announcement of the Quarter Ended on March 31, 2018. All participants will be in a listen-only mode. [Operator Instructions] Please also note today's event is being recorded. If you do not have a copy of the press release, please refer to the investor support section on the Company's corporate website at www.centralpuerto.com. A replay of today's call may be accessed by accessing the webcast in the investor support section of the Central Puerto corporate website. Before we proceed please note that certain statements made by the Company during this conference call are forward looking statements and we refer you to the forward looking statements sections of our earnings release and recent filings with the SEC. Central Puerto assumes no obligation to update forward looking statements except as required under applicable securities laws. In addition, all financial figures were prepared in accordance with the IFRS and are stated in the Argentinean pesos unless otherwise noted. On the call today from Central Puerto is the Jorge Rauber, Chief Executive Officer; and Tomás Daghlian, Investor Relations Officer. And now, I will turn the call over to Jorge Rauber. Mr. Rauber you may begin.
Jorge Rauber: Thank you and welcome everyone. We are joining you today with our team from Buenos Aires, Argentina to report results of the first quarter 2019 and to answer any questions that you may have. Today is with me, Tomás Daghlian, who is our Investor Relations Officer who will replace Fernando Bonnet, our Chief Financial Officer, who was originally announced for this conference and Tomás will be in charge of reporting and explaining the results of the Company. I will first refer to the operating figures of the quarter and then continue with some recent news regarding Central Puerto and the electric energy sector. Finally, Tomás will analyze the financial results. During the first quarter, we generated 3.5 terawatt hours of electricity, a 3% increase as compared to the same quarter of 2018. This increase was mainly due to 2% increase in hydro generation and a 156 megawatt hour of additional energy from wind farms Achiras and La Castellana, which started operation during the third quarter 2018. This was partially offset by the 2% decrease in energy generation from our thermal units. For the general market according to CAMMESA, electricity demand during the quarter decreased 70% due to lower temperatures during the summer and the decrease in the demand by commercial and industrial customers. On the other hand, the availability of our thermal units reached 92% in the period, which is 2% lower is compared to the first quarter 2018, but 13 percentage point higher than the average availability of the market with the same period for 2018. During this quarter, we continue with the construction of our new projects. Regarding the thermal project, Luján de Cuyo and Terminal 6-San Lorenzo, during the first quarter of 2018, we continuously work for the construction of the new refrigeration units and their auxiliary equipment. I’m pleased to confirm that the bulk projects are within our budget. Regarding to renewable energy project, during the quarter, we continue with the construction of our La Genoveva, which still provide energy through the RenovAr regulatory framework. We actually continue with the construction of the wind farms La Castellana II, La Genoveva II, Manque and Los Olivos, the last 2 previously known as the Achiras II project. And the solar farm, El Puesto, which will provide energy to private offtakers through the term market for renewable energy, MATER. Regarding the projects under the MATER of regulatory framework, it’s important to mention that we have already signed contracts for 61% of our expected electricity generation from this project. It is important to note that this long-term by other contracts and through into directly without customers, we prior to set in U.S. dollars. We believe that this -- all this projects have set us ahead and reaffirm our position as market leaders in terms of power generation. We will continue ability to consistently increase our installed capacity, satisfying the demand of energy for our customers. As you may recall on September 7th, the Secretary of Energy issued the Resolution 70 of 2018 according to which authorized generators to purchase their own fuel for the Energia Base thermal units. The generation companies that take this option have to clear by ever cost of production for each unit to CAMMESA who paid the fuel in accordance to such declaration. I’m calling to CAMMESA proceeding, the machine with a lower variable costs of production are dispatch first and consequently have better load factors. Additionally, if a generation company purchased the fuel at a lower price that one paid by CAMMESA this may have a result for the generator. CAMMESA continues to supply the fuel for those generation companies that do not take this option. According to these were the solutions during the first quarter, we purchased the necessary fuel for our unit which have a positive impact for our businesses especially during January and February. Going forward, we plan to continue purchasing our own fuel for our combined cycle and cogeneration unit provide that the condition are favorable. Regarding the Brigadier Lopez power plant as you may recall on February 27th, Central Puerto was notified that it has been awarded the IEASA Bid called by IEASA to acquire the Central Termoelectrica Brigadier Lopez power plant. The acquisition of the Brigadier Lopez power plant was subject to the satisfaction of the certain condition that has to core prior to April 1, 2018. Since some of those conditions today, the IEASA Bid had not been satisfied Central Puerto and IEASE are negotiating among other things on a new closing date. Finally, regarding the remuneration of our thermal units under the Energia Base framework, as you may recall on March 1, 2018, the government issued a solution number one, which reduced the prices for the power and the energy produced by those machines. According to the Resolution I, these remuneration systems will have a transitional application until the following this time and implemented. Regulators aimed at reaching an internal most competitive and sustainable operation that allows the freedom of contract between supply and demand, technical economic and operative functioning for the integration of the different generation technologies, so as the guarantee -- so as to guarantee a reliable and cost-effective system. However, we expect the effect of these C changes will be offset by the income from our new renewable internal units. Finally, regarding the trade receivable associated with Vuelta de Obligado agreement, as of today, we received the payments related to January and February 2018 corresponding to installment 11 and 12. And we continue to compensation with CAMMESA in order to collect the unpaid amounts previous to those installments. And now, I will turn call over to Tomás who will comment on the financial highlights of the quarter.
Tomás Daghlian: Thank you, Jorge. Before starting, it's worth noting that the financial statements as of and for the quarter ended on March 31, 2019 include the effect of inflation adjustments, applying the International Accounting Standards Number 29. Accordingly, the financial features that I will mention have been stated in terms of Argentine Pesos of the end of the reporting period including the data from previous period and the growth comparisons here mentioned. Consequently, the comparative information including the financial statements for the quarter ended on March 31, 2019 is not comparables for the financial statements previously published by us. The results that we achieved during the first quarter of 2019 were very good even when considering the reduction in the power and energy prices for the units under the Energía Base regulatory framework. Revenues from continuing operations increased 118% to 6.2 billion pesos in the first quarter, mainly driven by. One, an increasing exchange rate for the first quarter of 2019 higher than inflation for the period, which impacted power and energy price set in U.S. dollars in terms of Argentine pesos current at the end of the reporting period. As a reference, during the 12 month period ended at March 31, 2019, the foreign exchange rate increased 115% while the inflation rate for the same period was 55%. Two, an increase in fuel remuneration for units under Energía Base regulatory framework and other related concepts, which amounted to 2,528 million during the first quarter of 2019, mainly because of income in accordance to Resolution 70, in some of the units under this regulatory framework compare to 246 million during the first quarter of 2018. Three, a 540% increase in the sales under contracts, which amounted to ARS518 million, during the first quarter 2019, as compared to 81 million in the first quarter 2018, mainly due to the energy generation of wind farms Achiras and La Castellana, which started operation during the third quarter of 2018. And four, 83 million in the first quarter of 2019 from revenues from the CVO thermal plant management, which started operations on March 20, 2018. This was partially offset by the decrease in energy and power prices for units under the Energy Base Regulatory framework established by Resolution 1 as Jorge mentioned before, starting on March 1, 2019. Our gross profit in the first quarter increased 75%. This increase was due to the above mentioned increase in revenues and was partially offset by an increase in cost of sales at total 3.7 billion compared to 1.4 billion in the first quarter of 2018. The increase in cost of sales was primarily driven by 1. An increase in the purchase of fuel and related concepts, which totaled 2,306 million during the first quarter 2019, as compared to 0.4 billion in the first quarter of 2018, due to: A, the cost of the self-supplied fuel purchased in accordance to Resolution 70 it was mentioned before. And B. a higher price of natural gas used in the units that generate steam or electric energy under the Energía Plus framework. Mainly due an increase in the exchange rate for 2018 that was higher than the inflation for the period, which impacted in the U.S. dollars denominated price of natural gas, in terms of argentine pesos current at the end of the reporting period. As a reference, during the 12-month period ended on March 31 2019, the foreign exchange rate increased 115% while the inflation rate for the same period was 55%, Two, a 34% increase in non-fuel-related costs of production, which totaled 1,394 million in the first quarter of 2019, as compared to 1,042 million in the first quarter 2018, mainly due to A, 61% increase in maintenance costs totaling 169 million, and B, a 59% increase in depreciations due to the increase in property, plant and equipment related to the new thermal and renewable energy projects amount other increases. Operating income before other operating results net increased 84% to 2.1 billion compared to 1.2 billion in the first quarter of 2018. This increase was due to; the above-mentioned increase in gross profits and a less-than-proportional increase in administrative and selling expenses that totaled 455 million, a 42% increase as compared to 320 million in the 1Q2018. Our adjusted EBITDA was around 5.5 billion compared to 14.5 billion in first quarter of 2018, which included 12.3 billion one-time gained from the CVO commercial approval. Without taking into account this extraordinary gain, the increase would have been 155%. This variation was driven by. A, the increase in operating results before other operating income mentioned above. B, a 2.9 billion during the first quarter 2019 as compared to 500 million in the first quarter of 2018 from the foreign exchange difference on interest accrued on trade receivables denominated in U.S dollar mainly from the foreign trade receivables. And C, the increasing depreciation and amortization which totaled 470 million during the first quarter of 2018 as compared to 330 million in the first quarter of 2018. Consolidated net income was 1.2 billion in the first quarter of 2019 compared to 10.9 billion in the same period of 2018 which included a 12.3 billion one-time gain during the first quarter of 2018 from the CVO effect. In addition to the above mentioned factors, net income was A, negative impacted by higher financial expenses that amounted to 1.5 billion in the first quarter of 2019 compared to 770 million in the first quarter of 2018. And we positively impacted by higher financial income which still at $380 million during the first quarter of 2019 compared to $265 million in the first quarter of 2018. In each cases under A and B, mainly due to the foreign exchange difference over U.S. dollar denominated debt and financial assets respectively which included FONI which exclude FONI and other trade equitable. Additionally, during the 2018, the results from discontinued operation during 2018 during the first quarter of 2018, we had a results from discontinued operations of La Plata Plant for $309 million and the profit, the share of profit are associated decrease in the first quarter of 2019 to 97 million as compared to 164 million in the first quarter of 2018, mainly due to weaker results from the operations at Ecogas. In order to have a more precise estimation of the operational cash flow generated during the period, it is important to consider the FONI collection. During the first quarter, we collected 800 million from the FONI trade receivables including the collections CVO receivables mentioned by Jorge earlier, as compared to 160 million in the same period of 2018. Finally, results from exposure to the change in purchasing power of the currency totaled 1.3 billion during the first quarter of 2019 as compared to 310 million in the first quarter of 2018. As for our financial position, we maintain a solid cash flow -- a solid cash balance which as of March 31, totaled approximately ARS2 billion for Central Puerto as an individual entity ARS2.1 billion as a consolidated basis. On the debt side as of March 31, 2019, financial debt was almost system for Central Puerto as an individual entity and was at approximately ARS6.6 billion including the tax from subsidiary, which include the IFC and IIC long-term project finance facility for the construction of the wind farm a Achiras and Castellana. Finally during the period, we invested ARS2.1 billion for the development of the Lujan de Cuyo and Terminal 6 cogeneration projects and ARS0.2 billion for the renewable energy operation. Thank you. And now we invite you to ask any questions to our team.
Operator: Ladies and gentlemen, we’ll now begin the question-and-answer session [Operator Instructions]. And our first question today comes from Frank McGann from Bank of America. Please go ahead with your question.
Frank McGann: Okay. Thank you very much. So, I could just two questions, one just in terms of SG&A. The year-over-year increase is relatively low compared to your currency changes and inflation. I was just wondering, how you thought that might act as we go through following quarters whether we should expect to see a pick up related to what we seen in the first quarter? And then secondly just kind of stepping back and looking at the sector. The overall level of capacity in the sector seems I guess adequate now perhaps some people, you talked to you think there’s quite a bit of capacity relative to demand and certainly demand has fallen some. But speaking out on a little bit longer term, I'm just trying to I think get the potential for new investments and how you’re seeing the need for new competitive capacity to come into the market? Clearly, this is a difficult time to do that and really financing issues and such makes to difficult for the government and the players of the system to want that capacity. But assuming things normalize and we have a better environment, do you think there’s good opportunity for substantial new capacity?
Jorge Rauber: Thank you, Frank. I will answer first on the second quarter you made. I would say in general terms put in aside the fact that we are, as you mentioned living in a very tough situation in terms of financing. What we specifically see regarding the sectors that we are facing a kind of excess capacity at the moment especially because we as you may know demand of electricity is quite stable for the last three years, I would say, before that it was growing faster and now pretty faster. And now it’s kind of stable because of the economic situation because of the increase time and electricity there’s demand in terms of price. So what we see today and on the other side we have the installation of new capacity especially coming from the renewal projects and the ones that we at the Central Puerto and the rest of generators have installed in terms of cogeneration projects and the closing of common cycles. So what we see, installation of more 4,000 megawatt until May next year more or less and the demand which is not growing. So, what we see is an excess capacity and for sure, the situation should way a little bit in order to add more capacity if the objective of that capacity if they're reserved of that capacities to meet the peak demand. So, this excess capacity in terms of megawatt installed. What we do have is an opportunity to replace very old and efficient units for new ones. So probably it’s not so much related to in-store capacity which is enough as I mentioned and probably an excess capacity, but in terms of efficiency why not they challenge the system half is has to go back to path of efficient which have to be in the last ten or 15 years. The system used to be a very-very efficient and model for the award and now which are quite in infusion system where units are extremely over our steel in operation when should sustainable several years ago. So we respect the challenge I mean we have to change the unit not to add more capacity but to change the existing unit, the old once for new ones in order to be more efficiency in order to make more profit for the Company and in order to save fuel and reduce the target for the customers. So that will be win-win saturation if we get our framework that can provide that kind of incentive. I am the replacement for your all units for new ones in order to reduce cost and increase the profit of the Company. And first one was?
Tomás Daghlian: Yes, I missed which line you were refereeing to Frank because you were repeatedly…
Frank McGann: The SG&A line, the ARS455 million that was up limited amount, what is it 42% I guess, year-over-year. I just wondered if you thought that we could see larger increases in that line as we go forward. I think wage increases year-over-year is I think up 27%, if I remember right from the release. Should we expect year-over-year increase to grow more?
Tomás Daghlian: Yes, okay. So, in the first quarter of 19, the Company paid bonus to the personnel which was in accordance to the bylaws of the Company Section 33 of the bylaws the Company, which impacted the cost of salaries paid to personnel. It's included in that line, but it's an extraordinarily result because these bonuses were related to the external results that we had last year, which we don’t expect to happen again which was because of the CVO effect. According to the bylaws, a portion of those results have to be distributed to the employees of the Company, but this was a very onetime thing. And for the ongoing and ordinary wages of the Company, as a matter of that I would say that, the salaries are less -- were lower than the first quarter of 2018.
Operator: [Operator instructions] And ladies and gentlemen, at this time I’m showing no additional questions. I'd like to turn the conference back over to management for any closing remarks.
Jorge Rauber: Well, thank you everyone and for your interest in Central Puerto and your continued support for our company. We encourage you to call us at anytime for any information that you may need. Thank you and have a good afternoon.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect.